Operator: Good day, everyone, and welcome to the Fourth Quarter and Full-Year 2024 Eastman Conference Call. Today's conference is being recorded. This call is being broadcast live on the Eastman website, www.eastmann.com. We will now turn the call over to Mr. Greg Riddle, Eastman Investor Relations. Please go ahead, sir. Greg Riddle Thank you, Harry, and good morning, everyone, and thanks for joining us. On the call with me today are Mark Costa, Board Chair and CEO; Willie McLain, Executive Vice President and CFO; and Jake LaRoe and Emily Alexander from the Investor Relations team. Yesterday, after market close, we posted our fourth quarter and full-year 2024 financial results news release and SEC -- and SEC 8-K filing, our slides and the related prepared remarks in the Investors section of our website, eastman.com. Before we begin, I'll cover two items. First, during this presentation, you will hear certain forward-looking statements concerning our plans and expectations. Actual events or results could differ materially. Certain factors related to our future expectations are or will be detailed in our fourth quarter and full-year 2024 financial results news release, during this call, in the preceding slides and prepared remarks and in our filings with the Securities and Exchange Commission, including the Form 10-K filed for full-year 2023 and the Form 10-K to be filed for full-year 2024. Second, earnings referenced in this presentation excludes certain non-core and unusual items. Reconciliations to the most directly-comparable GAAP financial measures and other associated disclosures, including a description of the excluded and adjusted items are available in the fourth quarter and full-year 2024 financial results news release. As we posted the slides and accompanying prepared remarks on our website last night, we will now go straight into Q&A. Harry, please, let's start with our first question.
Operator: Our first question will come from the line of Josh Spector with UBS. Please go ahead. Your line is open.
James Cannon: Hey guys, this is James Cannon on for Josh. Thanks for taking my question. I just wanted to jump-in on the AM guidance. I think between the overall segment and what you're assuming for the Kingsport contribution, it seems like you're assuming a decline in the base business and I just was wondering if you could unpack some of the moving pieces there.
Mark Costa: Yes, sure. So first of all, AM has had a great success in recovering earnings from a challenging environment in 2023 through 2024 and it really is an impressive recovery of the actual core business in Advanced Materials in 2024 as we fell short on sort of our circular earnings goals in that year. So the macroeconomy is certainly challenging right now, as we all know. And lack of destocking certainly helped last year. As we move into this year, you really got a more stable flat market without that tailwind. So you have to create all of your own growth this year, which we're doing. So when you look at the growth that we're going to deliver in the circular platform is pretty substantial with that $75 million to $100 million guide for the company with $50 million of it being in Advanced Materials. When you look at the innovation that we're creating that drove growth last year and will continue to drive growth this year through innovation in our core business in a very flat market, I think is again a testament to the power of our strategy and the value of this segment. But there are headwinds in the core business that sort of mitigate some of that volume growth within the core to your question. So we've got increasing natural gas prices across the company and a good portion of that shows up into Advanced Materials. You've got currency being a headwind and a good portion of that shows up in Advanced Materials. That's a good portion of the $50 million in natural gas and the [$30] (ph) million in currency. So that offsets some of that volume and mix growth and sort of levels out the core earnings. But we still expect the segment overall to have very strong performance. And I think it's really well-positioned when you think about the strength of that stability in the core, building with innovation on-top of it and then and how that then levers into more growth in 2026. I would also say that cost management is going to help the segment as well. So it's a combination of things that you sort of flatten out, the earnings growth in the core due to these new headwinds. But I don't think there's anything to be concerned about long-term?
James Cannon: Okay, got it. And then could you just frame for us what the -- what the Kingsport contribution looked like in 4Q and maybe what you're assuming in 1Q?
William McLain : Yes. So as we look at how we ended the year, we've came in modestly below the low-end of the range that we gave for 2024. We continue to work-through the higher costs associated with reduced uptime from earlier in the year. But in the fourth quarter, we demonstrated continual operational improvement and we've run well since we saw each of you in November of work at 85% DMT yield since our fall turnaround and uptime continues to prove. We continue setting new production levels since that last shutdown and we're well-positioned for strong operating leverage in 2025 from both higher production and reduced operational spend.
Mark Costa: I would add that all the success in this plant is a tremendous testament to the teams, the operators, the engineers, everyone who surrounded and built this plant and got it up and running. It's just extraordinary amount of effort that this team has invested to get such a complicated plant to do something so extraordinary to take basically garbage and turn it into high-quality virgin polymer is a real proof point for how Eastman can build extraordinarily advantaged technologies and build a long-term competitive advantage that I think will be very difficult for anyone to replicate. And the only reason that happens is, all the people who've done such great work.
James Cannon: Great, thank you.
Operator: Our next question today will be from the line of David Begleiter with Deutsche Bank. Please go ahead. Your line is open.
David Begleiter: Thank you. Good morning. Mark, a couple of questions related to the new administration. First, on the Texas project, any concerns or thoughts on the DOE funding going-forward and could be -- could that be at-risk here?
Mark Costa: Sure, David. Thanks for the question. Obviously, we're paying very close attention to the new administration. First, our projects under contract with the DOE and we've already received our first funds from the program and so we feel like we're on a good track there. To back up for a moment, I want to sort of recognize and say, I really appreciate President Trump's focus on growing US manufacturing. I think it's incredibly important. I think a lot of us forget that you don't really actually have an economy without an industrial base and that includes vertical integration to key raw materials. And that's really both not just for an economic reason, but also for our security -- national security reason. And so, if we reflect on where we are today in America, we're really at-risk of losing American competitiveness that we've built over the last eight years. While sort of US consumption has gone up a lot over the last two decades, US manufacturing has declined. So the idea of driving and supporting US manufacturing, I think is an incredibly important priority. And when you think about our circular economy project, I think it fits perfectly with his agenda and what he's trying to accomplish on three different reasons. First, a circular investment is about a building infrastructure in America and reshoring jobs and building supply-chain resiliency. When you think about the products that come off of this facility for food packaging, medical and a variety of other vital consumer durables, we need to have that sort of resiliency in this country and we're onshoring jobs basically from Asia to Texas. We're also going to create a lot of jobs downstream of this as people sort of want to lever into reshoring manufacturing and supplying raw materials to them. And importantly, upstream of us. So as we make this investment, we create jobs in revenue for recycling infrastructure that feeds into this kind of facility and the others that need to be built in this country and that creates a sustainable growth not just in Texas, but across the country. The second factor is it actually creates energy independence. Plastic waste is basically oil sitting above-ground in landfill. So you're using it as feedstock for the world scale advantage process and we have an advantaged cost position if oil is above $60. So it's value-creating in a meaningful way. And the third factor, of course, is the circular economy will create a long-term US competitive advantage because the circular economy is by definition defined as taking local plastic waste as feedstock from the local environment. Imports obviously shouldn't count as recycled content because that's solving someone else's waste problem, not ours. And whether you're Republican or a Democrat, no one likes plastic waste, they all want it solved. Even Trump signed a Save our Seas Act in the first-term showing that marine debris and impacts to the environment are important to him on this topic. So I think that it fits his agenda well. We're very excited to be sort of doing this. I think Eastman, frankly, as a company fits his agenda well as -- given how large we are US manufacturer.
David Begleiter: No, very good. And just on the similar point, you are a large US exporter. What are your thoughts and concerns over potential as Trump raises tariffs, potentially potential retaliatory tariffs on US exports?
Mark Costa: Yeah. So just building on, I guess, the last answer, David. I do think that trade is an important topic. Back to that US manufacturing point I just made. I think strategic trade actions along with addressing sort of overwhelming regulations, having pro-growth tax policy, workforce development, et-cetera, were all critical to sort of driving and growing US manufacturing, which will certainly benefit Eastman in the long-term and many other companies. When I look back at the last time there was a sort of trade event in 2019, Eastman actually managed that from a direct impact really quite well. And the only impact we really had was there was a slowdown in the short-term there for economic activity and sort of we felt that. And when I reflect back on that timeframe, we don't really face that much Chinese competition in North America. So it didn't have a lot of relevance to us to see the trade benefits. But obviously, a lot of US manufacturing did and that helped stabilize the economy in some other areas that sort of helps as we sort of go through that trade friction. Today is different though. So when you look at where we are today versus then, the economy was actually relatively strong going into that event. The economy in global manufacturing now is incredibly weak across the globe. So I think the rate at which people can get aggressive if they're focused on stabilizing and growing their economy will be limited given those weaker positions that many countries have. And we're also in a pretty challenged economic time. So it's not clear to me how much more negative impact tariffs can have on-top of the manufacturing recession we're already in. So I think that this -- while it sounds really dramatic because there's so many different countries being discussed around what might have some tariff actions in it, and that is certainly a wider factor than 2019. And I think that there's pros and cons of this, and I think so-far we have seen some careful thought being deployed by the administration about what's appropriate and not acting yet until they have a clear plan. So we'll see -- there's no way for me to estimate the impacts at this stage given everything I just said, we're going to need to see specific actions to really have an informed point-of-view. But I will say that, our forecast does not include any significant impact from the trade actions.
David Begleiter: Thank you.
Operator: Our next question will be from the line of Mike Sison with Wells Fargo. Please go ahead. Your line is open.
Mike Sison: Hey guys, nice end to the year. I had a question on AFP. The adjusted EBIT came in a lot stronger in the fourth quarter versus the third quarter relative to your guidance. You talked about a couple of things in the transcript. But can you give us a little bit of color on why that segment did so well sequentially when normally it takes a little bit of a debt.
Mark Costa: Yes. So first, AFP had a great year as well as a great quarter. And frankly, the whole company had a great year. We're really excited about it, both on the earnings we delivered and the strength of cash-flow that we generated. So -- and AFP is a strong contributor to both the earnings and the cash-flow. So it was great. When it came to sort of how it came in better-than-expected, it was on both fronts. So volume mix came in a bit more -- it came in a bit better than we expected. We expected a certain amount of destocking that might have gone beyond normal destocking. And we came in a little bit better than our original thought on that side. And then raw-material flow-through was also better across a number of different products and that combination of those two things helped. We even got some more fills in [HDF] (ph) than we expected as part of that and all those came together in a way that you made the outcome better. And then I'd say that's sort of the story for the year for AM and for the company. We didn't have in a market that gave us a lot of tailwinds outside of a lack of destocking. So the 23% earnings growth, ASP's contribution in it is about pulling ever lever we got, defending every bit of volume we had with customers, finding innovation everywhere we can, spending price incredibly well, which is a true testament to the sustainability of our value proposition through our innovation. And good management on cost, etc. So this was a tough year that was delivered by actions, small little actions taken by everyone across the company to deliver it.
Mike Sison: Got it. And then just a quick one on fibers. It looks like this will be the third year in a row of really good margins, pricing. You're going to -- the guidance looks pretty good in that 400 plus level. When you think about that business going-forward, how sustainable do you think these pricing levels are? You saw some destocking here. I think there's some new capacity coming on as well. And just given that it's been such a big improvement from 2002, 2021 levels.
Mark Costa: So certainly, fibers has improved significantly back to where it was back-in the 2013, 2014 timeframe. And so, it's not like these are new levels. We were at them in our history. In the short term, what I'd say is, based on everything customers are telling us, you've got a set of actions that are happening that are causing earnings to sort of normalize. Inventory management is certainly the key driver of the volume being adjusted. You have to remember that toe is 2% of the price of a cigarette. And the cigarette margins for our customers are greater than 60% in gross margin. So they really don't want to miss the sales. So security supply is phenomenally important to them when the markets are very tight. And so, they built a lot of safety stock as a result of the 2021, 2022 timeframe to make sure that they were never shortening a customer. So I think that is what's going on right now. And we still have -- as we look through 2026, greater than 80% of our customers under volume commitments, but there's a band of volume that they can hit inside these contracts and so that destocking is showing up with some customers. And we do expect the prices to be higher. But the bigger overall question is just what's the supply-demand dynamics in this context. And first, demand is not changing. So when it comes to volume adjustments here, we're not seeing any sort of material change in the demand from the end-market, we still expect it to be a modest 1% to 2% decline. Cigarettes are declining faster than that, but it's being offset by the high-growth of the heat-not burn products that still use toe and in some cases more toe than a cigarette. So market -- end market stability, I think still is in place there. There is some new capacity that's been added in China, which is roughly sort of 5% of market demand. So when you compare this back to 2015, the amount of change in demand in 2015 was significantly higher than this kind of modest market decline because the Chinese have massively overbuilt inventory through the retail channel and we're destocking in a pretty aggressive way. And the capacity that was added in China also back in that timeframe was significant. It makes this current capacity adds look very small in comparison to the backward integration that they did in that 2013, 2014 timeframe. So these conditions now are a lot more modest. And when you put them together for now, we're going from a very tight market condition to probably utilizations in the low-90s. And so, while we certainly see some adjustments going on, we think of this sort of current dynamic being a lot more stable than what occurred in the past. And also historically, we've seen companies in this industry adjust high-cost capacity to align their low-cost capacity to serve the existing market as it adjusts in volume. So -- and there's still high-cost assets out there. So we'll see how this plays out, but we think this business is still going to normalize at a very attractive level for the company and for investors. Of course, we're also not just sitting around waiting for the market. We're taking cost-reduction actions across the company and significant amount of that also applies into this area over the next couple of years and as a way to continue to manage our cost competitiveness. And we haven't been sitting on our laurels on this one either, right? We've known that a diverse portfolio of ways to grow from the cellulosic chain as we talked about in the deep-dive is incredibly important. So a lot of growth opportunities in [indiscernible], a lot of growth opportunities in Aventa and some other products to drive the stream and keep it growing. So we feel good about where we're at and all the innovation investments we've made to make this whole stream vital going-forward.
Mike Sison: Great. Thank you.
Operator: The next question will be from the line of Aleksey Yefremov with KeyBanc Capital Markets. Please go ahead. Your line is open.
Aleksey Yefremov: Thanks. Good morning, everyone. Reading about your Rapid Brewer last night was quite a blessing. I wanted to ask you a question about Advanced Materials outlook this year. You're discussing that there's higher costs in the first-half that could pinch your margins and then you'll be raising your prices was a lag. So should we think of that dynamic as your first-half earnings in Advanced Materials are somewhat under the run-rate at which they'll be exiting the year?
Mark Costa: Yes. So look, there's a lot of dynamics going on and it's a little more complicated this year than most. So in the first quarter, you've got roughly $25 million of costs that's moving out of corporate and other and going into Advanced Materials in Q1. So, on a year-over-year basis, obviously, that's a headwind. And it's impressive that we're delivering the earnings in our forecast for Q1 offsetting that with volume mix growth as well as maintaining good price discipline and starting to [indiscernible] cost reduction actions for the year, which will start -- which we started in the -- in December and November headed into this year. So you're going to see some of that benefit, but that will definitely build through the year. So as you look through the year, you've got the cost benefits coming in through the year that are helpful. You've got the circular economy that's going to definitely be back-half loaded and how it helps earnings in the back-half relative to the first-half as sales ramp-up and utilization ramps-up. Offsetting that, you've got natural gas energy costs that -- a good portion of that $50 million I mentioned earlier flows into the segment and that flows in as a headwind through the year as those costs go into inventory then flow out of inventory with increasing energy costs. So there are a lot of moving parts. I think the segment overall is well-positioned to deliver very attractive results for the year, but it's -- there's a lot of -- a lot of pluses and minuses as you look first-half back half.
Aleksey Yefremov: Thanks, Mark. And I also wanted to follow-up on the filter tow. So in the past, you used to go through your annual contract negotiations right about now. So I wanted to ask you if you gained any visibility in your portfolio of contracts here beyond 2026 in terms of prices, margins, volumes, et-cetera, kind of a…
Mark Costa: So we switched from an annual contracting process to a multi-year process with a number of customers, not all, but a number of them, especially the big ones. And to provide that stability, we've talked a lot about that to all of you over the past quarters. And that process is still in place where we have, as I said, about 80% of the volume contracted in 2026, we probably have 60% contracted in 2027, and probably it's actually higher than that, but it's closer to 70%. So we feel good about sort of this multi-year contracting that we have in place and how that adds a certain amount of volume stability and price stability to this business. But we also have to respect that our customers have to manage their inventory and make sure it's at the right level to demand and working with them on how to make those adjustments this year.
Aleksey Yefremov: Thanks, Mark.
Operator: The next question will be from the line of Vincent Andrews with Morgan Stanley. Please go ahead. Your line is now open.
Vincent Andrews: Thank you, and good morning, everyone. It sounds like the methanolysis plant is running well still, which is great. So maybe you could talk a little bit about the volume sales side of the equation. I think last year, the sales were a little bit below what you expected and I think some of it had to do with just sort of not being able to run the plant as well as you wanted to early in the year when the consumer products companies tend to introduce innovation and maybe you miss some opportunities to be in those lines. So could you talk about how you're seeing the order book at this point in the year from that perspective as well as there have been some sort of high-profile backing off from some of the consumer brands on some of their recycled plastic targets. So just where are we with all that and your view on sales for this year?
Mark Costa: That's a great question, Vince. And as you might guess, I spent a lot of my personal time with the team on this topic and all things circular. First of all, I think that we covered this topic fairly well at the deep-dive and our perspective on sort of the market conditions both this year and beyond have not changed. So nothing substantially changed. But to re-hit the sort of key points that we discussed back then. I mean, first, we have to recognize that the macroeconomic conditions that we're in right now are not helpful, right? So when you've got an economy that is challenged and weak demand combined with inflation at the same time that our customers are trying to manage through in what they're buying as well as consumers' attitude about all these brands and the prices. And they're having to make choices. And so, I think that has reduced the pace at which some of the brands are converting to ramp-up their orders. But we see a solid funnel that has developed and I believe we're sort of on-track across all the different markets we're serving. It's a bit different depending on which market you look at. And when you look at the durable side, we already have over 100 customers who have committed to renew and they're already paying premiums for those products. So there's not a lack of interest in the product, but there's a moderated pace. They want to really focus their efforts around product -- new launches where they can sort of do something in the market and see a way to grow share and create their own growth in a weak underlying market just like we are doing and where we can help them do that, but less interest in cannibalize something that's been on the shelf where they don't necessarily see an immediate improvement in their demand in that kind of upgrade because they need the splash of a new product. So I think that's pretty aligned and pretty sensible and we still see a lot of growth happening for us as a result of that. On the consumer packaging side, you have to remember that the first plant we built here is not really aimed at recycled PET. We are converting a line over to be able to make recycled PET by the summer where we will sell some PET in the back-half of the year with a number of different customers and we believe that will be successful. I think that on the broader question that you asked, Vincent, are people sort of changing their sort of commitment to sort of recycled content? I don't think there's any signs from a long-term point-of-view where we see people backing off on the -- at the brand level on the need to change. I mean, the reality is, the brands are very focused on the brand equity and consumers' engagement around their products and consumers really don't like plastic waste. It's an invisible, tangible issue to them in their lives every day. I can't tell you how much it comes up in every cocktail session or dinner party I go to. Everyone's debating climate right now, including President Trump, but I'm not sure anyone is really debating plastic waste. I'm not seeing that. And it's an issue that people feel like they can do something about now that doesn't have a big sacrifice for them in what products they want to support compared to some of the climate implied choices they have to make. And it's bipartisan. I mean, as I said, President Trump even signed a Save your Seas Act. So I think that there's economic reasons brands are moving a bit slower. But I'm not sure the -- I don't think it's a lack of issue. The NGOs, the media are still very much going after plastic waste, I'd say in the -- in many states, they're more committed post-election to driving this agenda with what choices they can make at the state level. And regulations are certainly coming out in Europe that are driving and forcing change as well as in multiple states in the US. So I don't think that context is changing. I think it's moderated and to be reasonable in the economic environment we're in.
Vincent Andrews: And if I could just follow up separately. The prepared remarks talked about there being some volume in the fourth quarter that with customers sort of preparing around tariffs and things like that. But it doesn't look like that's coming out of your first quarter or is having a negative impact on your guidance. So was that -- was that particularly material in any of the segments, the sort of loading? And I guess sort of correlated to that question is just if it's not coming back out in the first quarter, is that just a function of customers just -- they just don't have a lot of inventory?
William McLain: Yes, thanks for the question. And yes, definitely agree. It was a modest impact on our volume mix beat here in Q4. And we're entering the year with order books that are strong that fully support the year-over-year growth that we see in Q1. We're expecting volume mix growth as well as price cost in the specialties in Q1. And along with the absence of the start-up cost, that's going to be more than offsetting the fibers inventory destocking. So right now, we have good visibility.
Operator: Thank you. And the next question will be from the line of Frank Mitsch with Fermium Research. Please go ahead, your line is open.
Unidentified Analyst: Hi guys, good morning. It's [Aziza] (ph) on for Frank. My first question was on the $50 million of net cost reduction for 2025. Can you elaborate on the regions or segments where the majority of that is expected to occur?
William McLain: Thanks, Aziza. Yes, we are definitely focused on improving our cost structure and this is to compete in the challenging environment. Our comprehensive plan to improve operating cost goes beyond our usual focus on offsetting inflation. I would highlight that success in innovation has driven complexity in our operations and we're optimizing our products and operations to maximize gross margin realization and that's key to success long-term. This was going to be meaningful yield improvements, optimizing our contractors and the usage of those. And right now also, there's significant MRO purchasing opportunities in this weak manufacturing environment. We also have some opportunities to optimize our global asset base, and we did some of that in 2024 with the shutdown of our inner layers resin operations line and with rising natural gas prices, as you would expect, the drive on energy efficiency will be key. As we think about operating segments, it will be across all four operating segments. To stay competitive in this global environment, that $50 million will be key and we're not standing still. We're moving forward aggressively on this plan.
Unidentified Analyst: Thank you. And in your conversations with your auto customers, I was curious what are their expectations in terms of a recovery on auto builds in the US and Europe?
Mark Costa: So on the auto sector, I think our expectations are pretty in line with what I've been hearing in the marketplace so-far where automotive demand in the 2025 versus 2024 are probably going to be globally sort of slightly down. I think it's likely that Europe might be up a bit given how low it already is, North American being more flattish and China maybe being a bit lower, especially given the strong sales they had in the Q4. I would note that this business has been very successful in creating its own growth, right? So if you look at 2024, we did delivered high single-digit growth in a market that was slightly down, largely for mix improvement as opposed to just absolute volume. We have quite a wide range of products here from our standard interlayers, to our acoustic inner layers, to our heads-up display or color and special gradients, a solar rejection, all kinds of different features. The price points are quite vastly different as well as the margins across that product slate. So as we're dramatically growing the -- in the upper-end of the market and this functionality, there's a huge mix lift from these sales. And our addressable market is actually growing before you even layer on that mix growth. So there's a lot of things where we're seeing more territory growth per car, right? So they're moving from windshields to side lamination with EVs even the sunroof has to be laminated because the sunroof is so big to help the drivers not feel so claustrophobic as they're sitting on six inches of battery. So there's a lot of territory we're getting and it's not limited EVs, it's including ICE cars that are moving to the side lambs and bigger summers. And we also are just getting more value per product as I said, with these higher-value products are being installed in these windows. So you got levered volume growth as well as mix upgrade associated with basically a flat market. So we continue finding ways to sort of create our own growth.
Unidentified Analyst: Thank you.
Operator: The next question will be from the line of Jeff Zekauskas with J.P. Morgan. Please go ahead. Your line is open.
Jeff Zekauskas: Thanks very much. I think your forecast for operating cash flow in 2025 is $1.3 billion, which is flat with 2024. Why isn't operating cash-flow growing?
William McLain: Good morning, Jeff. Thanks for the question. Obviously, the largest driver for operating cash improvement this year is EBITDA growth. That's largely being offset in our base plan due to higher cash taxes. Right now, our baseline expectation is that our cash conversion cycle for working capital will stay flat with the last couple of years, which is around 85 days. Obviously, at Eastman, the entire global team is focused on delivering cash and cash flow. And our challenge is to deliver that. And then as the environment unfolds, deliver as much upside to that as possible. So we're focused on cash. There's no change in that commitment, but there will be higher cash taxes in 2025.
Jeff Zekauskas: And secondly, historically, chemical intermediates tended to move in operating income with advanced materials and AFP. In other words, you'd make a lot in chemical intermediates and then you'd make a lot in advanced materials and AFP. And then conversely they would move together, not perfectly, but in general. Whereas in 2024, chemical intermediates went down and the other two businesses went up and you see that in the fourth quarter. And I get it, there have been divestitures in chemical intermediates. I mean, in general, should those income levels be correlated? Should we expect the three divisions to move in the same direction? Or has something changed about Eastman that they don't move in the same direction.
Mark Costa: Hey, Jeff, good to hear from you. And no, it's actually the opposite. So they tend to move in opposite directions. So if you look at -- if you go back to 2021, 2022 when inflation was really tight and demand was really high, you saw a blowout in commodity margins in the whole industry, including us where those earnings went up pretty dramatically. We were certainly benefiting the specialties by strong volume mix growth in that time frame, but a lot of that value was being offset by prices chasing the increasing pace of raw materials going up. And so, when you have very strong demand, you certainly have the volume growth, but you don't -- but it's mitigated by sort of chasing the prices. So there's actually a bit of a natural hedge between how the CI segment operates versus the specialties. And in addition to innovation being the center of our strategy and how we create a lot of growth and stability in our portfolio -- compared to the market, this portfolio diversity does the same thing, where a small part of chemical intermediate is relative to a big part, especially products actually sort of balances out some of the volatility.
Jeff Zekauskas: Great. Thanks so much.
Operator: The next question today will be from the line of Patrick Cunningham with Citigroup. Please go ahead. Your line is open.
Unidentified Analyst: Hi, good morning. This is [Eric Zang] (ph) on for Patrick. In AM, the prepared remarks mentioned a higher RM cost base on 4Q [LIFO] (ph) inventory benefit in CI, the 1Q 2025 guides for higher raw-material and energy costs. Which raw materials do you anticipate to be inflationary in 1Q?
William McLain: Yes, I would say as we think about transitioning between years, obviously, we've had the NGLs, so the propane has been higher. Also we've got the forecast for natural gas. Those are the key things. As it relates to Q4, it was primarily the benefit of that declined as we went through the quarter and that decline was a little bit better than we expected.
Unidentified Analyst: Got it. Thank you. And then in [AFP] (ph), the prepared comments you mentioned new business wins and cost reductions mitigated and projected $30 million headwind. Could you provide some more insight on the strategy and execution?
Mark Costa: Sure. So on the growth side, the great thing about the AFP business is, it serves a lot of very stable markets that went back to sort of having modest growth last year versus 2023 and expected that sort of stable, modest growth to continue this year. And so that gives a nice core foundation when you're -- you've got ag, you've got pharma applications, water treatment, aviation, there's a certain amount of stability that you get -- that you've seen in that. And the volume growth this year is going to moderate relative to last year because we don't have --destocking, but those drivers will continue. And then on-top of that, they have innovation driving their own growth too. So we've got some great high-purity solvents that are experiencing growth in semiconductors, for example, we have progress we're making and winning a whole new set of applications in LNG that helps provide some stability for heat transfer fluids, which is more of a 2026 benefit than 2025. But we continue to make some sort of wins on that front. We've got a series of cylistic products that we're driving forward that we talked to you about at the deep-dive. So there's innovation there. It's not quite as big as Advanced Materials, but it has the benefit of not facing as much discretionary market exposure that Advanced Material has. They've also just done a phenomenally good job of managing commercial excellence and price and the value of the products and benefiting from some spread expansion last year and I'd say more stability this year as we go into this year. And of course, they get their benefit of the cost-reduction program that we're rolling across the segment to also help it up. So that's why you get that continued earnings improvement this year on top of what was an extraordinary performance last year.
Unidentified Analyst: Thank you.
Operator: The next question today will be from the line of Salvator Tiano with Bank of America. Please go ahead. Your line is now open.
Salvator Tiano: Good morning. So firstly, I wanted to go back a little bit to Kingsport methanolysis and you did mention that most of the improvement in AM earnings will come in the second-half. But I'm wondering how much of that is something that's already happening and you have -- or you have already line-of-sight, meaning that you have already found the customers that they just may not -- but they may need the volume in the second-half or how much of your targeted operating rates have you reached right now as of January? So essentially, what's already in the books of that $50 million to $75 million?
Mark Costa: Yeah. So there's a lot of detail that we provide in the deep-dive that you can reference in answering this question and it's still pretty much the same view today as it was back then. But there is quite a bit, as you'll see in those charts that existing business, that 100-plus customers I mentioned that are continuing to grow and launch products this year. And so that's a good portion of the demand. And then there is a lot of business we're still closing. It's what we do every year. It's not just unique to the circular platform of closing business through the year and getting orders. The good news about this business is the orders show-up pretty fast in a lot of these applications where the products are already well-established and how to use it. And so, call it, half-half in what is building on existing business versus business that we're closing.
Salvator Tiano: Okay, thank you. And I just wanted to go a little bit to capital allocation. Out of the $700 million to $800 million in CapEx, how much is the long view expansion? And with regard to the buybacks that you mentioned, despite making more money, you are spending -- you are allocating less. So is this a number that has upside? Are you thinking about leaving some capital free for bolt-on M&A or is there no way that you would go above $200 million in 2025 buybacks.
William McLain: What I would say on CapEx first is just as a reminder, our base CapEx is around that $350 million mark. So as you think about ultimately keeping our plants running and running reliably. As we think about growth programs, yes, you would expect our commitments in Texas to ramp-up through the year, but there's also other growth projects like our Triton expansions, etc., that we will be including as well. I would expect the Longview, Texas site to be the single largest growth project for the year in that $700 million to $800 million range. And that range is net of our expected DOE grant receipts. On the capital allocation front, as I think about, again, we've increased our dividend for the 15th year. On top of that, we went to the high-end of share repurchases in 2024. And what I would say is, we're not going to let cash sit idle. So we're going to use cash and our net debt to EBITDA is in a great situation. So we have financial flexibility and we'll leverage that to maximize value for shareholders.
Salvator Tiano: Okay, perfect. So just mentioned the DOE grant that's essentially included in CapEx. How much is that? Thank you very much.
William McLain: We're not going to be specific to the amount, but I will just highlight that we received $10 million in 2024.
Salvator Tiano : Thank you.
Operator: The next question today will be from the line of Michael Leithead with Barclays. Please go ahead. Your line is open.
Michael Leithead: Great. Thank you. Good morning, guys. First, in fibers, it seems like you had a fairly profitable product or some EBIT that you're now not selling in 2025. So can you just provide a bit more context there?
Mark Costa: Yeah. So we -- in this particular case, we can't talk about this customer's products into the details of what it is, but it was a good high-value product. They made a design change in their offering to the marketplace and with the need for this was discontinued. We just provide that detail, so you understand there are multiple drivers of how we're normalizing. Part of it is destocking, part of it is product, part of its energy being a headwind in this segment as CPTs catch-up and part of it is currency, right? So there's multiple levels of sort of what's in that guide from what was a very strong performance in 2024 to a very, very good performance in 2025.
Michael Leithead: Great. That's helpful. And then, Mark, post-election, it seems like there's been a bit of a pause or review on a lot of the green spending. I know you mentioned earlier your comfort in receiving your DOE funding, but just has the broader regulatory and funding uncertainty created any pause or delay just in your broader customer conversations about taking recycled product or committing to such a contract?
Mark Costa: We've not seen any impact at this stage. As I said, we're certainly seeing the impact of a weak economic environment and inflation causing companies to be careful in what they spend money on and as everyone is trying to drive cost-reduction programs to improve earnings in a weak environment, right? So that's just sort of natural economic behavior. But I don't see any sort of change with customers where they're like, we don't think plastic waste is something I need to manage in my consumer packaging. That's just no longer matters. Climate is a very different topic than everyone doesn't like waste in their environment and the impact it's having. So I don't think that we've seen any sort of significant shift on that front. I mean, I do think there's a lot of confusion right now with all the different activity going on in the administration and everyone is trying to interpret what it means, but we feel-good about the long-term value of circular platform.
Michael Leithead: Great. Thank you.
Operator: The next question will be from the line of Arun Viswanathan with RBC. Please go ahead. Your line is now open.
Mark Costa: Arun? We can't hear you.
Operator: Arun Viswanathan of RBC. Your line is now open if you'd like to -- my apologies. Please go ahead. Q - Arun Viswanathan Great. Thanks for taking my question. Congrats on the results here. So I guess maybe just two questions. So first-off, what are you hearing from your customers as far as the circular efforts go? I know that you've had maybe some -- still some higher costs there, maybe some diminished interest. And then secondly, Q1, it doesn't seem that you're being impacted as much by the slowdown or winter weather or anything like that, but your outlook appears a little bit stronger than some of your peers. So maybe you can just comment on those two items. Thanks.
Mark Costa: Sure. So I think I've already addressed the first question in a couple of other answers, where we're seeing economic moderation of pace of volume build, but not a lack of engagement. When it comes to the second question around sort of chemical intermediates, I think is where you were going with that question. We certainly see the challenges in the competitive environment right now in chemical intermediates in both acetyls and olephant products and feel some of that competitive pressure. Our outlook for the year-on that front is relative stability because while we recognize that's going to impact our business, we have made a lot of great reliability investments in our facilities last year. So we're on-track to have a lot more volume to sell this year. And a lot of that will be export sales. So it's moderate in its value because we're still waiting for local markets to grow, but certainly helping offset the spread. And again, they get a slice of the cost benefits in the cost reduction plan that we have in-place, and they don't have much currency exposure at all in CI. That's more in AM and fibers is where all the currency exposure sits. So that's not a headwind here or in AFP for that matter. So that helps, it have some stability in how it moves forward is having that additional volume and the cost actions? [Multiple Speakers]
Arun Viswanathan: I just wanted to clarify -- Apologies if I missed this before, but was there a pull-forward in Q4? And does that kind of impact your Q1 outlook as well as it relates to whether pre-buying ahead of tariffs or any other dynamics? Thanks.
Mark Costa: Yeah, we addressed that question earlier and it was modest part of the volume beat.
Arun Viswanathan: Thanks.
Emily Alexander: I think the next question is our last, please.
Operator: Yes, of course. The next question is from the line of John Roberts with Mizuho. Please go ahead. Your line is open.
John Roberts: Yeah, thank you. Is the solar heat transfer fluid, the thermal fluid opportunity now dead? We've had several delays on projects and I would guess the current administration is not helpful to that business?
Mark Costa: Hey, John, how you doing? I haven't -- I didn't see the solar question coming. So we don't do that much in the solar business anymore to your point, John. We've actually made a phenomenally good progress on diversifying our application based on heat transfer fluid. So it used to be very tied to PET and solar as two businesses, which in today's current economic environment are pretty challenged, especially PET. But we've really diversified pretty significantly into energy, especially LNG. So these LNG facilities actually require quite a bit of heat transfer fluid. And in many cases, it's a very high value version of heat transfer fluid for those facilities. And that's been a great diversification. And as we -- because of capital delays, we're not expecting much of a tailwind this year relative to last year in fuels because projects are just getting delayed. But certainly in 2026 and beyond, there's a number of these big sort of LNG fills that we've won that will help build earnings growth as we go forward.
John Roberts: Thank you.
Greg Riddle: Thanks again, everyone, for joining us. We appreciate your interest in Eastman, and I hope everybody has a great weekend. Thanks again.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.